Operator: Thank you for standing by, and welcome to the Genesis Minerals Limited Quarterly Activities Report December 2025 Conference Call. [Operator Instructions] I would now like to hand the conference over to Troy Irvin, Corporate Development Officer. Please go ahead.
William T. Irvin: Good morning, and thanks for dialing in to Genesis teleconference. In Perth, presenting today, we have Raleigh Finlayson, Executive Chair; Matt Nixon, CEO; and Morgan Ball, CFO. Fair to say, these are unprecedented times in gold. At the current gold price, gold companies from every corner are generating soaring cash flows and have soaring share prices. So how to stand out? The team will cover all the key numbers shortly, but the pulse of these 2 attributes Genesis will continue to strive for in 2026. Firstly, reliability, that is consistently hitting production guidance; and secondly, growth, that is selling more gold into a buoyant gold price. From the investor engagement perspective, today's ASX announcements mark the start of a busy period. In the coming weeks, we will release an updated corporate presentation plus half year financials with 1 or even 2 drilling updates also brewing. I will now hand over to our Executive Chair. When it comes to the Q&A session, can all questions please be directed to Raleigh in the first instance. Thanks again.
Raleigh Finlayson: Thanks, Troy. I'd like to start with providing some additional color on the important announcement we made today, namely the promotion of Matt Nixon into the role of CEO and me stepping into Executive Chair role. Now is a perfect time for this realignment of roles and responsibilities for the following reasons. We recently completed the underground mining tender and contract award to Byrnecut, a 6-month process that Duncan Coutt has diligently led. With that body of work behind us, Duncan now has capacity to take on operational oversight in his role of Executive Director of Operations. Duncan is a mining engineer with over 30 years' experience, providing invaluable leadership and mentoring to the high-caliber leadership team we have assembled at Genesis, many of whom I'm confident will become future industry leaders. Duncan was previously COO at Ramelius Resources for 9 years, managing Ramelius' operating mines during a period of significant growth. With Duncan taking on operational oversight of Genesis, not only will our results' core value remain in very good hands. But importantly, this provides Matt capacity to take on a broader role in the organization by expanding to the running of the company on a day-to-day basis and delivering our strategic plan, which is due to be published to the market in the current half. Personally, with the rail tripartite agreement, Tower Hill approvals and native tile agreements now all in place, this affords me the opportunity to look to the future and proactively focus on strategy and kickstart important strategic initiatives like a strategic review on our Bardoc project, and unlocking the potential of the recently acquired focus assets within the Laverton operations, but at the same time, retaining ultimate executive oversight. Importantly, our previous Chair, Tony Kiernan, will assume the role of Lead Independent Director, which will ensure the high standards of corporate governance are maintained. This is very much a case of business as usual, Same people, same strategy with a clear delineation of roles and responsibilities. The priorities and key objectives remain the same. And very importantly, the culture is completely maintained, noting Matt's key role in development of our 5-year strategic plan and core values in March 2024. Matt's promotion aligns strongly with our strategic plan, which includes people first as one of our core values. In that plan, we promised to empower key talents with development pathways and provide a one-stop shop for our people. This is recognition and reward for Matt's performance, meeting or exceeding guidance since Matt started with us in August 2023. Our team is totally fit for purpose with the right people in the right roles. This will ensure we fully capitalize on the outstanding growth pipeline we have established while maintaining our track record of meeting or exceeding our commitments to the market. Personally, I remain heavily invested and committed to Genesis and its ongoing success. This transition will facilitate further outperformance and aligns us with our commitments to develop our people from within. This in turn, ideally attracts similar like-minded people that are seeking career development and progression to join Genesis. Troy and I will be conducting a global roadshow starting in Sydney and Melbourne next week and then on to the BMO conference in late February, where we'll be happy to discuss Genesis' exciting future. With regards to the quarter report, it was another one where we met or exceeded all operational targets whilst making strong progress on our growth agenda. Importantly, our record production was accompanied by tight cost control, which was a significant achievement given the cost pressures faced across the industry. This led to an underlying cash build of more than $200 million, ending the quarter with cash and equivalents of more than $400 million and nil bank debt, with $100 million of debt drawn to fund the Focus acquisition now fully repaid only 7 months post acquisition. Pleasing living results has us at the upper end of production guidance, the lower end of all-in sustaining cost guidance at the halfway mark with our FY '26 full year guidance maintained at 260,000 to 290,000 ounces at between $2,500 and $2,700 all-in sustaining cost range. We will continue to lay the foundation to deliver our ASPIRE 400's accelerated growth strategy, including a milestone December quarter at Tower Hill. Matt will provide an update on this outstanding progress on this flagship asset in a second. We look forward to unveiling details of our longer-term plan later in the current half, including the mill expansion strategy and a refresh of our strategic pillars following significant growth since our inaugural plan was published in March 2024. I'll now pass you on to Matt to run you through the operations.
Matthew Nixon: Thanks, Raleigh, and good morning, all. I'm pleased to highlight another consecutive quarter of record gold production for Genesis with just over 74,000 ounces produced at an all-in sustaining cost of $2,635 an ounce, generating $231 million of mine operating cash flow and net mine cash flow of $167 million after investing $64 million into our growth assets, including Tower Hill, Ulysses Underground and Jupiter open pit. Importantly, this was underpinned by strong safety performance with 0 LTIs sustained during the quarter and an improved serious injury frequency rate to 4.2. This consistent delivery has the company well placed to meet our FY '26 guidance, as Rael reiterated, with just over 147,000 ounces at an all-in sustaining cost of $2,578 an ounce produced during the first half. In parallel with the strong production performance across the Leonora and Laverton operations, multiple significant development milestones for the Tower Hill project were achieved during the December quarter, which paved the way for operational readiness activities to be advancing ahead of schedule and site establishment works to be able to commence in the current March quarter. These milestones included receipt of Stage 1 mine development and closure plan approval and native vegetation clearing permit, agreement reached with the PTA, Arc Infrastructure and Aurizon to enable shortening of the Leonora rail line and execution of a mining agreement with the Darlot people. Also noting, we're very pleased to execute a second mining agreement late in the quarter with the [ Nyalpa Pirniku ] people, ensuring that development pathways for all Genesis tenure in the Leonora and Laverton operational centers is now formalized through these mining agreements. To facilitate acceleration of this world-class asset, capital investment into Tower Hill has been brought forward into FY '26, resulting in a revised full year Genesis growth capital outlook of $220 million to $240 million, previously $150 million to $170 million. I look forward to articulating further details in our updated long-term plan later in the June half. The Leonora underground mines delivered 289,000 tonnes of ore at a grade of 4.6 grams per tonne for 42,783 ounces, a 24% improvement in tonnes and 34% improvement in ounces quarter-on-quarter. Gwalia mine's just over 32,000 ounces at a grade of 5.6 grams per tonne from 178,000 tonnes as stoping continues through the Heart of Gold. As development and ramp-up continued positively with a record 1.6 kilometers of lateral advance and 10,500 ounces mined at 2.9 grams per tonne from 111,000 ore tonnes, which was a 46% improvement on the September quarter. As announced earlier this month, we completed a competitive tender process for provision of underground mining services at our Leonora operations that attracted several Tier 1 contractors and culminated in issuance of a letter of intent to Byrnecut Australia, who plan to mobilize in early May following completion of the current contract term by Macmahon, to whom I would like to express our appreciation for the dedication and contribution of their people to Gwalia, Ulysses and the Genesis business. The Leonora open pit mines delivered 330,000 tonnes of ore at a grade of 1 gram per tonne for 11,000 ounces as focus continued on cutback activities for recently identified shallow lateral extensions at Admiral and pre-stripping works for Stage 2 at Hub, with ore volumes to increase significantly during H2, particularly in the June quarter. Impressive total material movement was achieved at both open pits for a total of just over 6 million tonnes hauled during the quarter. Over at Laverton operations, the Jupiter open pit continued to ramp up well following commencement earlier in FY '26, with mining productivities across our new Genesis Mining Services fleet improving as more floor space was opened up in the central subtle section of the pit. And just shy of 3,000 ounces were mined at a grade of 0.7 grams per tonne from 133,000 tonnes of ore and total material movement of 3.5 million tonnes. At both the Leonora and Laverton mills, throughput performance was excellent, with 365,000 tonnes processed at Leonora at 4 grams per tonne and 92.8% recovery for just over 43,000 ounces recovered and 759,000 tonnes processed at Laverton at 1.5 grams per tonne and 83.8% recovery for just over 31,000 ounces. 38% of that Laverton mill feed during the quarter was third-party ore at a recovery of 79.2%, noting Genesis ore recovery remained consistent at 91.2% as we close out the FY '26 ore purchase agreements with one final campaign to complete during the March quarter. Pleasingly, and aligned with our consistent future-proofing strategy as well as supporting current mill expansion studies at both Leonora and Laverton, we closed the quarter with group stockpiles of 1.4 million tonnes at 1.2 grams per tonne for 53,000 ounces. To round out the excellent quarter, $11.9 million invested into exploration activities continue to yield encouraging opportunities across the portfolio, including testing the upper 1,000 meters of Gwalia that hosts the historic workings and commencing the maiden Genesis drilling program at Beasley Creek, testing for ore body extensions as well as infill for inferred resource conversion. We look forward to providing a geological results update in the coming months. I'll now hand over to Morgan to talk through financial performance.
Morgan Ball: Thanks, Matt, and morning all. Further to this morning's release, I'm pleased to comment on some of the key financial outcomes for the quarter. As you heard from Matt, we maintained our run of increasing gold production quarter-on-quarter. And in the December quarter, we sold 71,000 ounces at an average gold price of AUD 6,057 an ounce, up 20% Q-on-Q, generating $430 million in sales. Cash and investments increased by $41 million to $404 million. This is after the company fully repaid the $100 million in corporate debt that we drew down just 7 months ago as part of the Focus laverton acquisition funding. It's really pleasing to have had the liquidity and balance sheet flexibility to optimize our capital management approach this way. Matt and Raleigh have referenced our cost performance, tracking to the lower half of guidance year-to-date. Despite ongoing cost pressures, it has been very encouraging to see the way that the whole Genesis workforce has embraced and contributed to our internal cost reduction initiatives under the Project TALO banner, TALO being an acronym for Think and Act Like Owners. Support for the TALO Project has been across the entire business from the shop floor upwards, and this is particularly pleasing given the strong macro backdrop and rhetoric, potentially resulting in people not chasing those centers. Despite this backdrop, our view is that now is the exact time that we should be focusing on these initiatives, and we are practicing what we preach. We set an ambitious internal cost-out target under Project TALO, and we are on track to achieve this. A few additional corporate matters. We have finalized the stamp duty position in relation to the Focus Laverton acquisition, and we will make this $13 million payment in the June quarter. Given the company's growth performance and profit generation, we will utilize our remaining tax losses during FY '26. And therefore, it is likely that we will start paying income tax installments in the coming months. You will note that we have estimated our unaudited NPAT for the half year at $235 million to $245 million. Not surprisingly, given our growth and with some help from the gold price, this compares favorably to the corresponding period last year, up 300% and in fact, is above our full year FY '25 NPAT of $221 million. We anticipate releasing our half year accounts on the 19th of February. I'll now pass you back to Travis for Q&A.
Operator: [Operator Instructions] The first question today comes from David Radclyffe from Global Mining Research.
David Radclyffe: A couple of questions from me. First off, I appreciate the long-term plan is still in the works, but maybe could you talk to what, if any, the potential impact is on the Tower Hill timetable from bringing forward the capital that you announced today, especially if we think about the Stage 1 pit and the opportunities here.
Raleigh Finlayson: Yes. Thanks, David. Yes, look, as you articulated, 5-year plan in this current half. Obviously, all the final details coming together. You would have read in the quarterly activities underway there. Obviously, the original plan was first ore in FY '28, there is scope to bring that forward, but that will be fully articulated in the plan, which is just around the corner. So long to wait now.
David Radclyffe: All right. And again, maybe pushing that a little bit, too. In terms of the potential expansion studies that are going through now, have you started to think about the long lead items there and maybe committing to some of them given that the market could tighten again? Just coming from the thought here that hopefully, that doesn't become a bottleneck to actually delivering the expansion plans when you announce them?
Raleigh Finlayson: Yes, 100%. Look, we're obviously in the final throes of the expansion works at Leonora as well. So that's a couple of items on the radar. We're very good tabs about what those long lead time items are. So again, that will be updated in the full plan, but there's a couple of things that we will move on reasonably quickly. So again, watch out for that in due course.
David Radclyffe: All right. And look, if I could squeeze just one last one in. In terms of the Ulysses underground, it's still ramping up, but I noticed that the grade is still running reasonably below reserve grade. So any color you could provide here maybe on the current thoughts about the volume and grade profile for the US' underground?
Matthew Nixon: Yes, David, Matthew, just to, I guess, summarize where U is at as we ramp up, as you highlighted, when I look at the split between development ore and stoping ore, particularly underpinned by the 1.6 kilometers through the quarter, development ore is still a heavy percentage of that feed. As more levels open up and stoping starts to become the dominant production feed, that's where we see the grade increase towards that reserve grade.
David Radclyffe: Okay. Cool. And then so the ramp-up is still effectively a 12-month process from here or less?
Matthew Nixon: Improving quarter-on-quarter, David. Obviously, we want to be pretty aggressive with this piece, 111,000 ore tonnes for the quarter. Ulysses, in the longer-term, Leonora strategy looks to provide 500,000 to 600,000 tonnes per annum. So you can see we're well on track for that 150,000 tonne run rate.
Operator: The next question comes from Levi Spry from UBS.
Levi Spry: I know it's cheeky, but the milling strategy, as you get closer, maybe you can just help us talk about how maybe some of the inputs have been refined on the Tower Hill tying on gold price, on Laverton on the focus ground, just as we get closer to the unveiling of it, is there anything you want to point out in terms of refining the goalpost?
Raleigh Finlayson: Yes. Thanks, Levi, and noted cheeky. Yes, look, at the end of the day, we've got plan around the horizon. If I think about Tower Hill, as far as the plan that we're going in with as far as the cutback, million ounces at 2 grams, there's no change there. We're not chasing a gold price changing cutoff grade, any of those sorts of things. It's purely the potential timing. Obviously, we're lining up the rail agreements and obviously getting the approvals to Stage 1 in the last quarter has enabled us to potentially fast track some of that. So that's obviously the one change. As far as across the portfolio, drilling has commenced at Beasley Creek. So obviously, very early days on the Focus ground, which we acquired in June, but really only upside to the plan on that front. So you'll see parts of that feed into the plan when we unveil it this half, but there's still a lot more scope ahead. And as around the mill goes, I think as we've articulated in the corporate presentation, if you have a good look at the reserve ounces and ore tonnes by area. So overlay button and Leonora gives you a bit of a guide to what type of sizing of milling we're chasing, which heavily ends up that sort of 400,000 ounce run rate, which is not a massive surprise considering our ASPIRE 400 target we've had in the market for a while. So all very close. I appreciate people very keen to know what that looks like, but we're in the final throes of getting that pulled together and obviously articulating to the market.
Operator: The next question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: Just looking at Gwalia and the contractor change to Byrnecut. I'm just wondering if you can articulate what are the key benefits from making this change that you are seeking or expecting to get? And just what are the expectations of managing disruption from this change?
Raleigh Finlayson: Yes. Look, I'll kick start, and I'll throw it to Matt to add some more color to that. But this has been a process. I'll just go back a step. Obviously, when we made the Focus announcement, we also announced Duncan Coutt's appointment to the Board as Director at that time. Obviously, this was with the planned announcement we did today on the succession of Matt as CEO in mind. Over that period of time, since then to now, Duncan has been solely focused on the tender process. It's a competitive process with a range of Tier 1 contractors. That's run its course all the way through to announcement which we made a couple of weeks ago. Byrnecut is certainly familiar to myself, familiar to Matt, familiar to Duncan in previous mines and previous companies, certainly a Tier 1 contractor moving forward. So we won't dive into much more detail about the final outputs of that tender. But as I said, we're talking about a sort of early May transition. So I'll throw it to Matt to give you a bit more color on the tender and the outcome with Byrnecut
Matthew Nixon: Yes. Thanks, Raleigh. Thanks, Dan. Ultimately, yes, just to emphasize, really strong proposals from all Tier 1 contractors received. And ultimately, the proposal from Bernhart received through that competitive tender process highlighted Byrnecut as the optimal selection for Gwalia and Ulysses ore bodies ultimately to take us forward following completion of the existing contract term. We maintain our production and cost guidance for FY '26, as we've highlighted as we work through that transition in the June quarter. From an opportunity point of view, I look at productivity, both at Ulysses as a new shallow unconstrained mine and also at Gwalia with Genesis' rightsized schedule approach versus previous strategy, particularly late in the piece for Byrnecut operated at Gwalia in the 10 years prior. So for high fixed cost type operations, productivity is a game changer both on output and cost profile.
Daniel Morgan: And then maybe just a question to the team just on the broader months ahead on the fresh ore outlook and grade across the various operations, maybe trying to put together all the levers from the various sites and big changes coming ahead, tonnes and grades?
Raleigh Finlayson: Yes. So obviously, some disclosure just around the corner, as I've mentioned. Just a couple of, I suppose, things that you can look out for. Obviously, Tower Hill timing I've talked about on previous questions. So to look out for the timing around that one. Some other ones that have been pleasing, just on the Admiral area, that should have been completed by now. We're having ongoing drill success, drill being operative word, not gold price. So we're not changing our assumptions on gold price. It's purely the drilling success we're having there, which is extending the life there. Bruno Lewis sits in the wings. There will most likely be some drilling that will come out in due course on that, had a very successful campaign of drilling over there over the last 12 months. So that's continued to get bigger. So we're excited about Bruno coming into the production profile. And the obvious other one is Jupiter just ramping up early days at the moment, but team doing an outstanding job there on production rates and the grade continues to climb. Strip ratio continues to fall on that asset as we go forward. So there are a couple of sort of important levers. Obviously, Ulysses ramping up, as Matt alluded to before. And even at Gwalia, obviously, contract change out short term, but a bit of a sneak peek on some of the -- talking about some of the upper drilling that we're doing at Gwalia, potential step change there with some more ounces higher up in the mining sequence. So they're all little snippets. I might give much more detail there because we are so close to unveiling that 10-year plan shortly.
Operator: [Operator Instructions] The next question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: Congrats, Matt and Raleigh on the role transitions. Apologies if I missed this earlier in the discussion. Just first one, looking at the recovery piece at Laverton. Are you able to just elaborate a little bit more on some of the third-party ore impacts around the recovery? And then just give us an update in terms of the expected timing and volume of third-party ore purchases into the second half?
Matthew Nixon: Yes, absolutely, Hugo, Matt here. Ultimately, the recovery piece, different ore types from the 2 OPA partners coming through in the December quarter campaigns, where that's some refractory element or some of the gold locked up in, I guess, their rock types. Summary would be no impact either during the December quarter or moving forward on Genesis ore recovery, highlighted by that 91%. And to your point on the second question. Sorry, just remind me, Hugo, on the second question. Yes. Hugo, thank you. Just to close out in the March quarter, forecasting one final campaign from Brightstar, looking at 130,000 to 140,000 tonnes to complete at the end of March quarter, which closes out both OPA third-party ore commitments.
Hugo Nicolaci: Great. That's helpful. And then touched on a little bit to maybe picking up on the refractory ore piece. Just if I look at the resource base, you had about 4 million ounces or close to 20% of the resource is that refractory ore type. Just want to get an update whether we should think about that starting to factor into that sort of next 5-, 10-year outlook? Or maybe are there opportunities to monetize deposits like Aphrodite and some of those others if that's not in the sort of medium to longer-term thinking?
Raleigh Finlayson: Yes. Thanks, Hugo. Perfect segue. Thank you. And really, I'm going to sort of use that question to partly answer the timing around the succession today. Obviously, Matt being promoted to CEO, gives me absolute scope to start thinking, forward-looking, thinking about the strategy and a couple of strategic initiatives that I talked about in the opening around obviously reviewing the Focus acquisition ground and how that dovetails into Laverton. It's obviously a fresh in the portfolio only acquired in June. The other part of that is a strategic review of the Bardoc project. And all options are on the table. The first thing, obviously, is refreshing the DFS numbers, which haven't looked at for a couple of years. It hasn't been obviously a core focus for us to date, but a refresh of that plan and obviously look at all the options, some of which you tabled will be something that I'll be starting to focus on, obviously, with Matt stepping up and Duncan taking on an operational oversight role. So yes, more to come, and there'll be more color provided on that in the strategic plan when we release it.
Hugo Nicolaci: That's helpful. And then one more, if I can. Just in terms of just clarifying the timing of that updated outlook, it sounds like you're in the final throes here. Is that something we should expect sort of by the April quarterly or possibly a little bit earlier than if you're in that final process?
Raleigh Finlayson: I love your work. Current half, I think is what we've said. So it will be around there, somewhere in that period, but we've obviously got resource reserves update, finalizing of the milling strategy, which is obviously a key component of that and obviously dovetailing in some of the work we're doing on the Focus grant plus the timing of Tower Hill, other key components, but current half is what we'll stick to for now.
Operator: At this time, we're showing no further questions. I'll hand the conference back to Raleigh Finlayson for closing remarks.
Raleigh Finlayson: Thanks for joining us on the December quarterly call. A quarter highlighted with safe record production and free cash flow generation. I appreciate a very busy morning, so we'll leave it there, and thank you very much.